Operator: Thank you for standing by and welcome to the Sandfire Resources September 2023 Quarterly Call. All participants are in a listen only mode. There'll be a presentation followed by a question and answer session. [Operator Instructions].  I would now like to hand the conference over to Mr. Brendan Harris, Chief Executive Officer and Managing Director. Please go ahead.
Brendan Harris: Hello, and good morning. I'd like to acknowledge the traditional custodians of the land on which we stand, the Whadjuk people of the Noongar Nation, as well as the First Nations peoples of the lands on which Sandfire conducts its business. We pay our respects to their elders and leaders past, present and emerging.  My name is Brendan Harris, CEO of Sandfire Resources, and welcome to the quarterly call. I'm joined here in Perth by Jason Grace, our Chief Operating Officer, Richard Holmes, our Chief Development Officer, and Megan Janssen, who commenced as our Chief Financial Officer on October 2. Megan, welcome to your first quarterly call. It's great to have you on the team.  Turning to our quarterly results, you will have seen the various ASX’s releases that we posted this morning. Some of you may have seen the short video we posted on our website to showcase our newest mine, Motheo. To safety, our continued focus in this critical area is reflected in the record trip of 1.2 we achieved at the end of the quarter. But we have more to do and always will. Nothing is more important than our people going home safe and well at the end of every shift.  More broadly, we want to be consistent and predictable. And we've started the year well, such that our production costs and capital expenditure guidance has been retained for the full year. And the promise growth is coming through with a 17% increase in production delivered in the first quarter, taking copper equivalent production to 31,000 tonnes.  This underpin sales revenue of $201 million and underlying operations EBITDA of $81 million for an operating margin of 40% or 44%, excluding DeGrussa. Our net debt rose to $454 million, with the $24 million increase, a function of previously accrued costs associated with the wind down of DeGrussa. The establishment of finished goods inventory at Motheo as we ramped up operations, you recall we talked about that on the last call, and a temporary increase in interest payments at MATSA.  Pleasingly, MATSA is tracking to plan. Our underground mines operated at a record 4.6 million tonne per annum rate, while our processing facility operated at a 4.5 million tonne per annum rate, producing 14.9kt of copper and 18.5kt of zinc, for copper equivalent production of 22.2kt. Of course, this means we are building surface stocks as planned, giving us greater control over our process blends and importantly, copper recoveries in our polyline increased by 5% to 73%. While we're far from claiming victory, we're very pleased with these promising results.  Shifting gears. We have continued to mitigate inflation at MATSA. Holding underlying mine operating costs at $70 per tonnes of all processed, meaning we start the year with a small buffer against full year guidance of $78 per tonne. A reduction in byproduct revenue did however mean that MATSA’s implied C1 unit costs increased to $2.04 per pound. On the exploration front, we have confirmed another 100-meter extension to the San Pedro mineralized zone, taking it to a known strike length of 700 meters. And we have identified two conductors at Magdalena, one down plunge at Masa 2 and the other northwest of the western edge at Masa 2 as well.  We will be drilled testing these anomalies across the remainder of FY24. And more broadly, we've tasked our team to develop a multi-year plan designed to materially increase our reserves at Masa. This is one of our biggest value levers. Talking of value levers, let's go back to Motheo. Our exciting growth engine that achieved commercial production in July, 45 days after the commencement of commissioning activities. This was one of many milestones achieved in the period. Our first shipment of concentrate was loaded in Namibia and the transition from our project team to operations was largely seamless, as our T3 mine and adjacent processing plant achieved a copper equivalent production run rate of 34,000 tonnes per annum, or 36,000 tonnes per annum, when unfiltered concentrate is taken into account. I'm sure you'd agree, an outstanding start to life at Motheo. Well done to everyone on the team. That's not to say it's been entirely smooth sailing. We have had some challenges with the filter press particularly, which forced us to constrain the front end of the plant for much of the quarter. But we're making progress on this front to achieving a 3.4 million tonne per annum run rate in September, proving we have plenty left in the tank.  On the cost side, while it's early days, we've been pleased overall, with an underlying mine operating cost of $37 per tonne of all processed, employing a C1 unit cost of $1.65 per pound for the quarter. We've also commenced initial earthworks at the higher grade A4 deposit, and the expansion of annualized capacity to 5.2 million tonnes per annum, remains on time and on budget, ensuring the tail is primed to produce more than 50,000 tonnes of copper in FY25.  Turning to the drill bit, we commenced resource definition drilling at A1 prospect in the period and aim to have a maiden resource estimate defined in the March quarter. At the completion of this program, the rigs will shift to A4, where we'll be testing the extent of the ore body, which remains open in all directions. There's so much potential in the Kalahari Copper Belt, and we've just scratched the surface.  So in conclusion, we are on track. The medium and long term fundamentals for copper remains strong, and we’re incredibly well positioned to deliver 50% growth in copper equivalent production from continuing operations across the two years to the end of FY25. We appreciate your interest, and value your time.  I will now open the call to questions. Thank you.
Operator: Thank you. [Operator Instructions]. Your first question comes from Mitch Ryan from, Jefferies. Please go ahead.
Mitch Ryan : Good morning, Brendan and team. Quick one. I guess I miss there’s a bit on today. But just, can you give us some color on the RoM inventory build, that, Matt says one of the key sort of deliverables over the medium term, how that's tracking over the quarter? 
Matt Fitzgerald :  Yes, thank you, Mitch and thanks. We do realize, by the way, it's a very busy morning, we didn't note the number of companies reporting. Look, you're right, there's a number of things we're focused on. We've talked about development, and driving development hardening underground, we've talked about adding ventilation, our opening DeGrussa of freedom in the underground. We're starting to see that predictability and consistency again, to reiterate a record 4.6 million tonne rate across the underground mines, this period.  But of course, the processing rate running around 4.5 million tonnes. And if you look at the data tables, and I hope you've seen that we've actually this is the last hopefully of the ships in how our disclosure is tabled to the investment community. But we've really tried to put all of the data in one document the Word document, and so you've got that series of tables at the back. You'll see there that the difference between Payable Metal produced and sold was pretty much in line. But in terms of processing rates versus production rates, it's around 30,000 tonnes of stock that's on the pad.  And look, we're aiming to build up around 100,000 tonnes this year. And as we said, it's all about getting greater control of those processing blends. And of course just starting to see the improvement in recovery coming through. But Jason, why don't you just provide a little bit of color around that program.
Jason Grace: Thanks, Brendan, and thanks, Mitch. Mitch, you you've been to Matt saw and you've seen how we operate over there. So, one of the imbalances that we've been dealing with since we took ownership has been that the mill outperforms on a volume basis compared to the underground mine. And what we've seen is we regularly draw down those wrong stocks, and ended up just being hand to mouth out there. So in essence, whatever comes up from the mine goes straight into the mill. So what we're doing at the moment is deliberately building a reasonable level of surface stocks to make sure that we've got the opportunity to putting in our plan blend into the mill on a regular basis. And we've got the opportunity to make sure that we're configuring the mill for the ore in an optimum way as it's being presented.  So our strategy, and as we've talked about before, is that we've deliberately set up a year to exceed our mine production when compared to mill production for the full year. And we've delivered that in the first quarter. And you know, our rough numbers there, I think we've built about 25,000 to 30,000 tons of stock in the first quarter. So we're certainly on track to deliver that outcome.
Mitch Ryan : Thank you. Appreciate that color. My second question, and I know it's a list of a primary focus for the market. But Black Butte, Brendan, have you had a chance to get to that asset since sitting in the seat? And what's your current sort of view around the strategy of progressing that asset?
Brendan Harris: Yes, look, I promised to others we didn't set this up beforehand. I'm actually flying out on Saturday evening, Jason, and myself, we've actually got a couple of Directors, we're going to Black Butte. We'll be there next week, I'm also going to meet investors on the East Coast primarily. So looking forward to doing that getting a thorough briefing on the current status of the permitting process. And, of course, a better understanding of the resource drilling that we're aiming to do this year and the potential that we see.  As we've said many times, over the last sort of nine months, we do anticipate that within the next 12 to 18 months, we'll have much greater visibility of where we're taking this project. So yes, Mitch, watch this space. And perhaps next time we speak, you can ask the question, I'll be able to give you firsthand experience. 
Mitch Ryan: Thank you. I'll pass the questions on.
Operator: Your next question comes from Paul Young from Goldman Sachs. Please go ahead.
Paul Young : Good morning, Brendan and team. Brendan now its one quarter in, and you've left FY24 guidance unchanged. So good. A few questions, though, on just the operating performance by asset and first of all, just on matter on the zinc recoveries, which are good -- I guess the first thing is good to see the copper recovery is improving a touch. But on the zinc recoveries, you know, how do you get them up to where they used to be 77%, 78%, or there about? I mean, I know that the head grades dropped and recoveries are a function of head grades. But, can you maybe step through how you actually lift the zinc recoveries?
Brendan Harris: Yes, look, I'll pass over to Jason in a moment. I think a lot of this gets back to how we manage our process blends. And I was with Rob Scargill, who runs MATSA in London last week or the week before last indeed. And one of the big things, Paul, that I think there's been a recognition is, is getting this collaboration between our geotechnical experts, and our processing plant, team. And you will understand that there's always a risk than when you're running a chemistry set like we are, that you literally look at it in terms of contained copper contain zinc. And you know, you're aiming to manage your flocculants you know, basically float cells to effectively deliver a recovery outcome, in that sort of vanilla sense.  The reality is, as Rob says, quite nicely, we're not recovering copper or zinc, we're actually recovering galena, for instance, sphalerite for instance. And so what we're doing with the tickers that's actually what works in the chemistry set in terms of the flotation circuit. And so what we now have is a process whereby one we've got some stock on the ground, we'll build that further, as we said.  Our teams are working -- walking over the wrong pile, with our geologists weekly, and looking at not only the chemistry, but looking at the mineralogy that's been presented. And that is allowing them to adjust. If you like the way that they've they're setting up the float circuit, in the order of once a week, you're not changing it daily, because that wouldn't be practical, but you're getting a greater degree of visibility, and therefore ability to respond and plan.  I think the other thing, of course, Paul, you said quite rightly, is to some extent, it's always going to be a function of the type of material that you're handling. What I might do is just pass to Jason quickly to talk about the profile for zinc production. Obviously, zinc was weaker because of effectively, the mine plan and deferral of some higher zinc grade stopes. I'll pass to Jason because he might give you a sense of how that will track and perhaps add anything final on the zinc recoveries?
Jason Grace: Yes. Thanks. If we look at the year, and building from quarter one, for this financial year, we expect quarter 2 to be roughly about 15% higher in terms of zinc production. And then we see a step up very into the second half of the year to close out the year in terms of guidance, copper, as we've touched on before we expect it to be pretty stable, or very stable, right quarter-on-quarter and throughout the year as well. And really just building on Brendan's comments there, I think he's captured it really well, we're coming at this from multiple angles.  So predictability of blends into the plant. And even going back with the geometallurgy work that we're doing at the moment, understanding our ore body, understanding, the best way to treat that, right, is coming back into our mine plan and into our geological interpretations. And that work that we've been doing now for over 18 months is really starting to give us some benefit. And then translating that through into real improvements around reagent regimes dosing, and maximizing value coming out the back end of the plant.
Brendan Harris: And look, I'm glad, Paul, you're asking us about zinc, because it is about NSR for us. I'd also stress something we're really pleased to see the increase in recovery, copper recovery in the polyline. We're certainly not suggesting that that set a trend, we're going to continue to battle and challenge that. I'm sure we'll have some ebb and flow in that but certainly pleased to see the directional trend that's initially at least become apparent.
Paul Young: Okay, thanks Brendan. And then maybe moving to Motheo, your great performance, I should say, just on the mill throughput and glad to see you exceeded nameplate in October at 3.4 million tonnes, Brendan but you did point out was on softer ore, which is obviously leading to overgrown and then some challenges with the filtration throughput.  So understand that Masa 1 had that works, and maybe just on the ore, the treatment of the ore? When do you flip over to the harder ore which, you know, therefore will probably test the mill, if you can maintain a 3.2? And then also, I noticed you had been mining low grade ore. Is that being Stope ore, Brendan and actually capitalized at the moment.
Brendan Harris: Yes, so what we do Paul, and it's a good point. And that's why we call it out in the document. I'll start with the latter part first, is we are obviously mining lower grade as we're working through the sequence. And we do take that to stock, just to give you a bit of comfort. And it's probably a good question to ask others, we're very conservative with our accounting approach. We don't allocate dollar for dollar tons a ton, we make sure that we allocate it cost according to the contain metal or the grade. And that's to ensure that you're not left with a lot of lower grade material carrying a high cost.  So that's possibly to give you some comfort with that, but it has provided somewhat of a small benefit on the C1 and that's also why we've been very cautious not to change guidance, I think, you know, we should obviously note that we're one quarter in to commercial production. And we certainly, again, need more time to get the level of confidence that we'd like to have. But again, as I said, it's a very, very good start.  In terms of the ore hardness, we're already starting to see the hardness increasing slowly and I think it is, it is somewhat of a linear trend, Paul. So we would expect that to come out at T3, at least over the next 12 months there about. You're right, the interesting thing at the moment is you actually would like to be running the segments at a faster rate, even above 3.4. Because the faster we can run that throughput rate, the less residence time you'll have in the segment, which will help with grind size, which then will help with the filtration circuit. The reality is though you get you get a blockage or a bottleneck at the back end.  So what we've obviously done in the near term is we've added plates to the filtration press. And we've got these mobile filters coming in, actually the pads been what's been laid, and we'll bring those in the coming month. And we should be commissioning on to the back end of next month. And then we've got the replacement filter press, all of that will give us significantly excess filtration capacity.  And look, you're right, I do anticipate that the power drill will start to rise as it gets harder. Our suspicion though, is we're certainly going to find ourselves having an ample capacity, remembering we haven't even turned on the ball mill. So, we're very well placed from a capacity perspective and the teams are already starting to challenge themselves and think about where the bottlenecks will, if you like reveal themselves to be in the event that we start pushing above 5.2 ultimately and hopefully quickly.
Paul Young: Yes, thanks, Brendan. Okay, that's it for me. Appreciated.
Operator: Your next question comes from Levi Spry from UBS. Please go ahead.
Levi Spry: Good morning, Brendan and thanks for the call. Maybe just starting on costs, good start. Can you just talk to what you're expecting to see over the course of FY24, given the started for unit cost 10% below? Is there anything specifically you can call out that we'll see, MATSA go back up to 78 and MATSA 41? Maybe it's a bit of processing in that one?
Brendan Harris: Yes, look, I think there's firstly one variable that I would just ensure everyone focused on this currency. I've always said the biggest driver of cost is FX and the U.S. dollar has been somewhat stronger, of course, similar to last quarter, but it's a variable we need to monitor.  Over and above that, again, as you said, cost performance has been good, power costs are sitting in the order of 10% of the total cost base, you would have picked up or may have picked up in our documentation, we have now put in place because there was liquidity available forwards to ensure that 85% of our power costs are effectively now fixed to the end of the coming northern hemisphere winter, we just want to take that risk off the table.  And that's at around a rate of, of just below current spot levels, which should mean that barring other significant movements, power will remain around that level. So I don't see power as being a big variable for us, as we move through the course of this year. Beyond that, there's the usual, I guess, variability. And indeed, that is why we've been loath to change guidance at this early juncture. We've managed to mitigate inflation quite well, again, to this point, we are starting to see some good wins in the productivity area. Indeed, Rob will talk about in underground development, from shift to shift achieving upwards of 15% improvement in productivity coming through now from where we started.  But you know, again, we're not seeing that as a permanent trend, but we're certainly seeing very encouraging signs. So, look I'd really encourage you at this early stage, to continue to work towards guidance. And clearly we'll provide another update at the half year result.
Levi Spry: Got it. Thanks, Brendan. And just last one, can I just confirm when you expecting Motheo to be at 5.2, just triangulate between construction and accessing A4 stuff? 
Brendan Harris: Yes, so assuming these mobile phones presses that work for us. And just for benefit of everyone, we're going to have two on site, initially, they're costing just over $100,000 a month to rent. So it's not significant additional cost. And they will be commissioning, as I said through the back end of the coming months, and we should therefore see quite hopefully a good finish to the year. That will take us up to having around 5.2 million tonnes of filter capacity. That then means of course, as the ball mill comes on, and the expansion of the broader processing circuit is completed. And that is tracking to plan that'll get us to 5.2 million tonnes of capacity at the end of this calendar year.  That means that we'll be ramping up from T3 ore through the first half of next financial year and quite quickly to 5.2. And then the A4 deposit which is higher grade comes on at the commencement of FY25, which is what gives you the production kicker into FY25.
Levi Spry: Got it. Thank you.
Operator: Your next question comes from Kaan Peker from RBC. Please go ahead.
Kaan Peker : Hi, Brendan and team. Just a simple question and probably a follow on from Paul's that. Why was the sequence change this quarter? Is it just a blend? Because on the result, it seems to mentioned focus on dilution and recovery. I'll circle back with a second.
Brendan Harris: Yes, so we've said now. You might recall when I think was the first quarterly call I said on and it was having been at MATSA. What I felt was that there was a desire to continue to push hard to try and achieve 4.7 million tonnes almost irrespective of the impacts elsewhere. And what was apparent to me was it would be better for us to enable the operation to stabilize, do what it had sort of always done and actually get development ahead, get ventilation where we needed to be open up more mining areas, but equally enable us to manage dilution. That was really the primary focus and then feeding into recoveries as we've talked about. So no change there.  I would suggest to you that I'm yet to see an underground mine that doesn't have a change in sequencing. Having followed Cannington for 20 years and worked very closely monitoring it as an example, that mine had significant sequencing and resequencing almost every quarter. And I think that is very similar. Jason, maybe you can you can just go into that. 
Jason Grace: Yes. I mean, Brendan is correct there. The resequencing of Magdalena is all about making sure that we're optimizing mine production and maintaining the rates that we need to do that as well. So what we've seen in the past is we encounter ground condition issues, particularly in our production areas, and what it's done, because we haven't had the developed stocks to give us flexibility in our plan. It's actually impacted us in terms of our production rate, which translates through low of metal production.  Now, what we're seeing now at the moment, the investment that we're making in additional developed stocks, gives us that resilience. And what we've seen before is where we would reduce production, we're able to maintain that and keep going. But overall, what it means is we slow down some areas to make sure that we optimize and get that ore out correctly. And then we're bringing forward all the areas in the mine plan. And as Brendan said, it happens in every mine.
Brendan Harris: Underground, yes.
Kaan Peker: Understood, it was just multicomponent. Nothing has changed from my thinking as for the last quarter.
Brendan Harris: No. Just normal course, Kaan. Thank you.
Kaan Peker: Yes. And just secondly. See that the Spanish government's looking to extend the energy tax and has been talking about reform of the wholesale electricity market, any impact expected from the policy change?
Brendan Harris: Look, we're very comfortable, we’ve put in place obviously long-term agreements with Endesa, on renewable energy. I think there's one of the concerns when you read around the current Spanish grid relates to the fact that power from time to time goes negative at the moment, because of the significant quantum of renewables that are in country. It's a very, very green grid. And I think there's obviously, a lot of debate and discussion around how that volatility is managed.  But from our side, and as we've said, many times that we've got three tranches, primarily, rough numbers around 30%, was secured, backdated to January 1 of this calendar year, around another 30%, just a little less kicks in in next calendar year. Both of those agreements, the latter is being roughly around spot, just over 100 euros. And then the former was quite considerably below that around 30% to 40% below. And then there's the last tranche that will come in when we have the dedicated solar facility. And that we're expecting that somewhere through probably see FY25 '26, just pending progress.  But of course, as I mentioned earlier, we've now put in place those forwards that also covers to 85%, up until the end of the March quarter. And that was just purely managing the downside risk, as you know, we still see risk in that European energy market going into this winter with obviously significant geopolitical uncertainty.
Kaan Peker: Well thanks, I'll pass it on. Appreciated.
Operator: Your next question comes from Ben Lyons from Jarden Securities Limited. Please go ahead.
Ben Lyons: Thanks. Good morning, Brendan, Jason, everyone on the call, hopefully two relatively simple ones from me. Just firstly, on the cash flow waterfall that's in your slide deck. Maybe this can be a nice half volley for Megan to get off the mark. But there's about a $16 million inflow that's attributed to DeGrussa, assuming that's just the sort of flow through a previous concentrate sales? And then maybe as we look forward on that particular asset, just confirming there's no further inflows that are expected and no material outflows apart from those holding costs that are referred to in the detail of the report. Excellent.
Brendan Harris: Perfect, I'll pass to Megan.
Megan Jansen: Thank you, Brendan. Thank you, Ben. So, during the quarter, we had our final sale for DeGrussa. So about 2800 tonnes of copper. So the cash flows have come through the net $16 million, is sort of $28 million of revenue, more or less, and then final costs associated with royalties and processing. The waterfall also does call out wind down costs, which we've caught out as a once off, and they're largely people separation costs. They were captured and accounted for in FY23. And what we're really looking at in the waterfall is the cash settlement of those wind down costs.  Then looking at to the remainder of FY24 ongoing. At this stage we're anticipating ongoing DeGrussa the care and maintenance costs in the vicinity of $5 million for the remainder of the year. 
Brendan Harris: Thanks, Megan.
Ben Lyons: Awesome, thank you. The second one is just on Botswana. Obviously also acknowledging the excellent ramp up to date, congratulations. Just wonder if there's any observations you can provide about how the logistics chain is going over there. Obviously, it's quite a lengthy logistics chain. And sort of back, calculating out an approximate volume of concentrates sold, it looks like it was about 15,000 tonnes. So as we sort of look for that ramp up of sales and take into account that you're obviously building inventories through that supply chain, is that a standard kind of shipping amount that you think we should expect? Or will it vary, if you go into break bulk, kind of charters, et cetera? Thanks.
Brendan Harris: Maybe I'll take the latter and then throw Jason on the logistics. As always a few bumps really early on, but it's going quite nicely now, Ben. But you're right, the first shipment was around 15,000 tonnes, I think we actually refer to that in the initial announcement with regards to that inaugural sale. The typical shipment is likely to be in the order of 10,000 tonnes, and typically on average, and it won't be perfect, but we expect around 1.5 shipments a month. And of course, you don't sell half a ship, but it means there'll be some months where we'll get two ships away, other months we'll get one. That's pretty much the run rat, Ben. But maybe Jason, go into the logistics and how it's trucking.
Jason Grace: Ben, look, we have the advantage, particularly with the logistics and the land based logistics there to be able to start that during the commissioning period in Q4 of FY23. So we've now and we were able to ramp that up slowly with the contractors that we're using over in Botswana and going over to Namibia there as well. So what we've seen at the moment is that they're actually ramped up very well.  They've got a core group of or core fleet of trucks that they own. And they've also got the ability to draw on subcontractors that work out of Botswana and also Namibia. So where we sit at the moment, we believe that logistics chain is very robust, we have the ability to accelerate or decelerate as required. And everything we're seeing from Walvis Bay at the moment is really quite good. It is a truly modern port facility that's going to be well suited to our needs in the long term.
Ben Lyons: Awesome. Thank you very much, Jason. Thanks, Brendan. That's it for me. 
Operator: Your next question comes from Sam Catalano from Wilson's, please go ahead.
Sam Catalano : Hi, Brendan and team. Two quick ones, hopefully. First one, just to push you a little bit more on the underlying operating costs at MATSA you referenced earlier currency impacts and the strong U.S. dollar. I wonder if you could perhaps talk to how those unit costs are tracking versus guidance in euros per tonne. Your comments in the release were fairly modest than talking about any gains? So just wanted to -- so I guess how much of that is actually currency and how much has been underlying improvement?
Brendan Harris: No, good question, Sam. I think what I was really alluding to is you've got natural volatility. The actual quarter-on-quarter from June is not significantly different. I think the question was more about how do we see guidance over the full year, I was just flagging that the U.S. dollar has been strong. So if you saw that start to unwind, that would present somewhat of a cost headwind for us, as we look to the rest of the year. The bulk of the benefit we're seeing is some of those productivity gains that we were actually getting with our contractors. And so that is very real. But again, there's those other variables that will come throughout. I don’t know Megan if there's anything you wanted to add to that
Megan Jansen: Thanks, Brendan. I would say it's worth from a go forward FY24 perspective. We tend to think about percentage shift on the euro and broadly the impact that can have on the cost base and broadly a 1% movement in that USD euro is around $4 million impacts on the cost base. And that's over a full year. So that's just some sort of very rough guidance, and a way to think about the movement in currency for the remainder of the year.
Brendan Harris: So just to be really clear, Sam, not a significant benefit, September quarter versus June quarter. It's more looking forward that it's something that we need to watch.
Sam Catalano : Good. And then just the second one, was just around, is there anything we should read into the fact that pay abilities were down at about 90% for the first shipments for Motheo, which seems a bit low for a copper con?
Brendan Harris: No, I don't think so. I mean, one should remember that these first shipments were run off ultra-low grade material, and that they were sold as commissioning cons. And they had with the issues in the filter press, they were slightly at the higher end on the moisture level. And so I wouldn't think you should think about that first shipment as being a function of the brand of the concentrate that we're looking to establish in the market over the coming one, two, three, five years and beyond. But maybe, Jason, if there's anything else you wanted to add?
Jason Grace: No, I think you're correct. We're confident in the brand that our concentrate will have in the long term. And, as Brendan said, we have literally been selling commissioning or at the moment, and one of the things that we have seen with that ultra-low grade material, there is a slightly elevated lead in zinc, which is affected the payables during that period.  Now, we know from our geological insert and our resource definition drilling, that trend doesn't continue at depth in this ore body. So it won't be an ongoing issue for us.
Sam Catalano: Right. That's pretty clear. Thanks, guys. 
Operator: Your next question comes from Adam Baker from Macquarie. Please go ahead.
Adam Baker: Morning, Brendan, and team. In the quarter report, there's a small comment on the regulatory approval to the talent facility at MATSA. I just wondering if you could remind us how many years of talent capacity you got currently there. And when do you foresee needing the new TSF? Thank you.
Brendan Harris: Very good. Thanks. Look, I’ll pass it to Jason, he'll give you the technical details and the times. Spent a bit of time on that when I was over there recently. Suffice to say, again, just to reiterate, from last time I met with the [indiscernible] while I was there. There's an enormous amount of support for mining in the District. I think [indiscernible] recently got their approvals for their new tailings dam. We are very confident and we've just gone through the public consultation process and whilst there's some comments that we need to respond to very, very few, certainly in the context of what you'd expect to receive if you're in the United States, Australia or elsewhere. So maybe Jason, if you can just remind us on the times.
Jason Grace: Yes, Adam, look, according to our numbers at the moment, we require access and to be able to depositing tailings in that new facility by the start of 2027. And some of the work we're doing at the moment around tailings deposition may extend that out a little bit as well. The build time on that new facility is expected to be 18 months. So that brings us around about back to the middle of 2025 for the commencement of construction. And at the moment, the permitting process, if we start to look from now forward, we're on track for completion of that process by the end of calendar year 2024. So by the end of next year. So on our numbers, we have a minimum of about six months’ float between the expected permitting timeline, and the required commencement of construction.
Brendan Harris: And I think just to reiterate Jason's comments, because again, I spent quite a bit of time on this with Rob. There's quite a lot of other opportunities that we have that you can stretch that out quite considerably. So I think the best way to think about it, it's certainly not something we think has been on a critical path at the moment. 
Jason Grace: No, definitely not. 
Brendan Harris: But a focus area nonetheless.
Adam Baker: Yes. There's still a fair bit of headroom there. And then pretty it sounds like you've had some encouraging exploration results. A1 with the mineral resource plan for the March quarter. Just wondering what your high level thinking for possible pathway production at A1 is?
Brendan Harris: Yes, look, it's still early. We are seeing encouragingly some intercepts shallower in the plan. So up dip, which is good, because it's not a large resource. So the more shallow you've got, it's certainly going to help with the economics. To give you a sense, now we are hoping to identify, you know, somewhere in the order of two to three years of life at A1. A4, we've mentioned that, you know, as we complete the drilling at A4, we’ll go to A1, we're hoping that we can identify somewhere in the order of one to two years, time will tell. But that really starts to give you confidence of a pathway heading towards 15 years of life at Motheo.  I wouldn't want to suggest to you however, that therefore it follows that A1 follows A4/T3. And the reason I say that is it's nice to build it in the bank to get confidence of life. But we've got multiple or numerous targets and very attractive, what we call prioritize targets within 70 kilometers of the processing facility that we will progressively be testing through the back end of this year and into next year as well. And so, obviously, life is good. The next step will be to test other areas because if you find volume and grade, they will jump the queue. And that's really what our main objective over the coming two, three, four, five years will be at Motheo, is to try and identify those resources that jumped the queue, bring volume and bring grade.
Adam Baker: Understood. Thanks. I’ll pass it on. 
Operator: Thank you. [Operator Instructions] There are no further questions at this time. I will now hand back to Mr. Harris for closing remarks.
Brendan Harris: I'll keep it very brief. You're all very busy. As I said, we really do appreciate your time and your interest. We think we had a great start to the year, mining's never linear. So we're onwards and upwards. We'll keep grinding away and look forward to speaking with you at the end of the year. So have a good Christmas and speak to you through January, February. Thank you.
Operator: That does conclude our conference for today. Thank you for participating, you may now disconnect.